Operator: Greetings and welcome to the Trupanion, Inc. Fourth Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Laura Bainbridge, Investor Relations.
Laura Bainbridge: Good afternoon and welcome to Trupanion’s fourth quarter and 2021 financial results conference call. Participating on today’s call are Darryl Rawlings, Chief Executive Officer; and Drew Wolff, Chief Financial Officer. Similar to prior earning calls, Margi Tooth and Tricia Plouf, will be available for the Q&A portion of today’s call. Before we begin, I would like to remind everyone that during today’s conference call, we will make certain forward-looking statements regarding the future operations, opportunities, and financial performances of Trupanion within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. These statements involve a high degree of known and unknown risks and uncertainties that could cause actual results to differ materially from those discussed. A detailed discussion of these and other risks and uncertainties are included in our earnings release, which can be found on our Investor Relations website, as well as the company’s most recent annual report on Forms 10-K and 8-K filed with the Securities and Exchange Commission. Today’s presentation contains references to non-GAAP financial measures that management uses to evaluate the company’s performance, including without limitation, fixed expenses, variable expenses, adjusted operating income, acquisition costs, internal rate of return, adjusted EBITDA, and free cash flow. When we use the term adjusted operating income or margin, it is intended to refer to our non-GAAP operating income or margin before new pet acquisition. Unless otherwise noted, margins and expenses will be presented on a non-GAAP basis, which excludes stock-based compensation expense and depreciation expense. These non-GAAP measures are in addition to, and not a substitute for, measures of financial performance prepared in accordance with the U.S. GAAP. Investors are encouraged to review the reconciliations of these non-GAAP financial measures to the most directly comparable GAAP results, which can be found in today’s press release or on Trupanion’s Investor Relations website under the Quarterly Earnings tab. Lastly, I would like to remind everyone that today’s call is also available via webcast on Trupanion’s Investor Relations website. A replay will also be available on the site. With that, I will hand the call over to Darryl.
Darryl Rawlings: Thanks Laura. 2021 wraps up the first 12 months of our 60-month plan. By all accounts it was a strong year for Trupanion. Total revenue increased 39% to $699 million. We ended the year with over 1.1 million total enrolled pets. Within our subscription business across multiple brands, we had over 704,000 pets at year end on average stay with us 79 months. Lifetime valuable pet was $717 up 10% year-over-year. Our gap to TruTopia which measures the difference between members adding pets or referring friends and pets turning off was 0.29, a 17 basis point improvement over 2020. I am extremely proud of this performance. But what I’m most focused on is the growth in our adjusted operating income. Adjusted operating income represents the funds generated from our existing pets in a given period and is the single most important metric to understanding and evaluating our performance. It also serves as a proxy for value creation. In 2021 adjusted operating income grew 37% over the prior year. This performance is exceptional and well ahead of our 25% target we laid out in our 60-month plan. Our outperformance was a result of us doing three things really well. Accelerating pet growth, sustaining high levels of retention and maintaining scale within our subscription business. In short, the team fired on all cylinders. Within our large and under penetrated market, we want to deploy as much of our adjusted operating income within our targeted internal rates of return as possible. As we grow and scale we’re seeing more opportunities and the team is doing a great job putting our capital to work against them. In 2021, we were able to deploy 56% more capital year-over-year and an estimated an internal rate of return of 36%. We do this while operating at scale. In fact, Q4 marks the fourth quarter in the last eight where we were within 100 basis points of our 15% adjusted operating margin target for a subscription business. I know will not hit 15% every quarter as we did in Q4. But I am encouraged by the narrowing of the range around our target. To me, in light of all the talk around inflation, it shows very strong execution, well done team. Hitting scale, or the size in which we operate efficiently while maintaining our margin targets is hard and takes discipline. Doing so has taken us over 20 years as we move forward, and we do so with a commitment to remaining the industry’s low cost operator and to reinvesting any future cost efficiencies back into the value proposition we offer to pet owners. I outlined our plans to do so further in our 60-month plan. Our 60-month plan can be found in our most recent shareholder letter on our IR website. One great benefit of being the low cost operator and building the Trupanion brand into what it is today is that we attract the interest of potential new strategic partners and distribution channels. We’re humbled and excited when we can find partners who are leaders in their field, have long term alignment and recognize the value of our brand, scale and expertise. State Farm, Aflac and our most recent partnership with Chewy are perfect examples. Later this quarter, our Aflac powered by Trupanion employee benefits products will be made available to select Aflac brokers to begin selling this new insurance offering to work sites across North America. We are excited to grow this channel through our strategic alliances with Aflac, a partnership which increases our reach and is a key component of our 60-month plan. In short, 2021 was an exceptionally strong year overall. We came out of the gate flying but saw growth slow in the fourth quarter. In Q4, we enrolled approximately 4,000 fewer pets than in Q3. We believe this was driven by the introduction of the Delta and Omicron variants providing some industry challenges. So far this quarter, we’re seeing activity rebound to Q3 levels. Results under Margie and Tricia’s leadership have been humbling to say the least. Years such as 2021 are not the standard by which we measure our success. I’ll reiterate our goal remains to grow adjusted operating income by 25% every year for the remaining 48 months of our 60-month plan. We believe this is the right target for our large underpenetrated market. As we work towards our 60-month plan, we want to ensure we remain organized in a way that is most effective. Ultimately, we’re a growth company and we continue to align the organization to provide clarity of the direction around this mandate. As part of this, Tricia recently assumed the role of Chief Operating Officer and Margie has remained President responsible for leading the execution of our 60-month plan. Well, much of the day to day responsibilities remained the same I expect these changes to drive greater clarity, transparency, and accountability within our organization. With that, I’ll hand the call over to Drew. 
Drew Wolff: Thanks, Darryl. I will focus the majority of my commentary today on our fourth quarter results. I will also provide some framework for outlook for both 2022 as well as our 60-month plan. Before I do so I want to provide a few observations on our 2021 performance. It was another fantastic year of growth. With the strategic investment from our long-term partner Aflac, 2021 marks the first full year we weren’t limited by our operating cash flow guardrails. Instead, we were able to invest for returns, deploying more capital at our strong internal rates of return, and as a result drive significant value creation for our shareholders. It also meant we could invest in expanding our total addressable market by adding new products and geographies, including those that are set to launch this year. In short, it was a strong year, and it has been a privilege to join this company and be a part of its incredible growth over the past year. Turning to our fourth quarter results, total revenue was $194.4 million up 36% year-over-year. Our performance was led by strong pet additions and sustained high levels of monthly retention in our subscription business, as well as continued growth in our other business. Within our subscription business segment, revenue was $134.1 million up 26% over last year. Excluding the impact of foreign exchange, subscription revenue would have been $134.4 million in the quarter. Total enrolled subscription pets increased 22% year-over-year to approximately 704,000 pets as of December, 31. Average monthly retention which is calculated on a trailing 12-month basis was 98.74% compared to 98.71% in the prior year period. We saw year-over-year improvement across all three categories that we measured. We’re especially pleased with the improvement in first year retention given our accelerated growth. Continued expansion in this metric means we’re able to invest more into our growth and target the highest sustainable lifetime values in the industry. As the size of our pet portfolio grows, so too does the value created from our high retention rates. Monthly average revenue per pet was $63.89, an increase of 3% year-over-year and growing ahead of our cost of veterinary invoices, which increased 1.9% over the same time period. Now that we are operating within a reasonable range of our target margin, we are focused on competing and winning with the highest value proposition in the industry. That means pricing accurately to our 71% value proposition across our subcategories, including increasing or decreasing prices as necessary. For example, in the fourth quarter, we reduced price for 16% of pets in our portfolio. Year-over-year growth in ARPU reflects this dynamic as well as our broad distribution. Similar to past quarters, we saw the strongest net pet growth in areas where we were most accurately priced to our 71% target. This will continue to be an area of focus, particularly in light of the growing conversation on inflation in veterinary medicine, and the need for veterinarians to raise pricing. As a percentage of subscription revenue variable expenses increased slightly over the last year to 10% of revenue, reflecting investments in our member experience. Fixed expenses were consistent with last year at 5% of revenue. After the cost of veterinary invoices, variable expenses and fixed expenses, we calculate our adjusted operating income. As noted, our subscription adjusted operating margin was 15% hitting our target. It’s encouraging to me to hit our target margin on the back of a 3% increase in ARPU in the quarter. Once again, it highlights our cost plus approach and ARPU is an output of pricing to our 71% value proposition. In dollars, our subscription business delivered adjusted operating income of $20.3 million, an increase of 30% over the prior year period. It’s worth reiterating that the vast majority of Trupanion intrinsic value is derived from our core subscription business, which is highly recurring and enables us to accurately forecast. In the quarter our subscription business accounted for 91% of our total adjusted operating income. Now I’ll turn briefly to our other business segment, which is comprised of revenue from other products and services that generally have a B2B component and different margin profiles than our subscription business. Total Revenue was $60.3 million, compared to the prior year for this is an increase of 66% year-over-year reflecting an increase in pets enrolled within the segment and the one time effect of adding revenue from our software acquisition at the end of 2020. Adjusted operating income for the segment was approximately $2.1 million, while lower margin our other business provides scale and data and fixed expenses and we incur virtually no acquisition spend. As a result, our total adjusted operating income was up 35% over the prior year period to $22.4 million. During the quarter we invested $17.6 million or 28% more year-over-year to acquire approximately 54,000 new subscription pets. Gross pet ads were up year-over-year but down sequentially due to COVID temporarily depressing industry leads which is recovering. This resulted in a pet acquisition cost of $306, an estimated 32% internal rate of return for a single average pet. We also invested $0.9 million in the quarter and approximately $4 million for the full year 2021 on development costs. These are primarily related to product and international expansion, which we expect to deepen our competitive moats. This resulted in an adjusted EBITDA of $3.5 million compared to $2.2 million in the prior year quarter. Depreciation and amortization was $2.8 million, an increase of $0.5 million year-over-year. This increase was primarily due to the amortization of assets from our software acquisition in the fourth quarter of 2020. As a reminder, this strategic software acquisition was aimed at improving our back end processes, adding new products, geographies and talent. Total stock based compensation was $6.8 million. As a result, net loss was $7 million or a loss of $0.17 per basic and diluted share, compared to a net loss of $3.5 million or a loss of $0.09 per basic and diluted share in the prior year period. On a year-over-year basis the increased stock based compensation impacted net loss by $0.10 and the increased depreciation and amortization impacted net loss by $0.01. Turning to our balance sheet, we ended the year with over $213 million in cash, cash equivalents and short term investments and no debt. In terms of cash flow, operating cash flow for the year ended December 31, 2021 was $7.5 million compared to $21.5 million in 2020. Capital expenditures totaled $12.4 million in 2021 and as a result, free cash flow in the year was a negative $4.9 million. At Trupanion we were focused on the long-term and specifically our 60-month plan. We offer a high degree of transparency into our financial metrics and how we model the business. Turning to our guidance, as we enter the new year, we’re evolving the way we talk about our outlook. We want to take the opportunity to provide you with the forward-looking information that we believe is best aligned with how we run and manage our business. With this in mind, and consistent with our 60-month plan, we want to increase our intrinsic value per share by 25% per year, driven by growth and adjusted operating income. In 2022, we have a high degree of confidence in our ability to hit 25% growth in subscription adjusted operating income. Within our other business segment, we expect adjusted operating income in 2022 to remain largely flat, as we’ve made the strategic decision to not grow revenue from our software business acquired in Q4 of last year. With this large and under penetrated market, we plan to continue deploying as much of our adjusted operating income as we are able to -- due to the timing of cash flows, and the value being added is not represented by the profit in a particular period. Likewise, if we grow slower, our profitability metrics will increase. We’ve used this trade-off worth making for long-term value creation. We’re well positioned in a large under penetrated market and proven our success in this industry quarter after quarter. This combined with the expectation that the cost of veterinary care will continue to rise, provides a long runway for Trupanion growth. We have a strong track record to build from, in fact, by our calculation Trupanion is the only company in the S&P 600 to deliver revenue growth in excess of 20% per year for every year over the past decade. We look forward to keeping you apprised of our progress. With that I’ll hand it back over to Darryl. 
Darryl Rawlings: Thanks, Drew. Before we open it up for Q&A, I want to highlight our upcoming investor outreach activity. In the coming weeks we’ll be participating in the Raymond James annual growth conference. William Blair’s BMX Q&A as well as several non-deal road shows. For those of you who are new to the story, these are good opportunities to learn more. For those looking to do a deeper dive into our business, I’ll point your attention to our two marquee investor facing events that will take place in 2022. First, on April 30, Margie, Trish and I will be hosting our annual Q&A to follow the Berkshire Hathaway annual shareholder meeting in Omaha. Over the years we have found this to be a great event to connect with likeminded investors in an informal any question goes type environment. We’re planning for an in person participation this year in Omaha. Second, on June 8, we will be hosting our annual shareholder meeting in person at our Seattle headquarters. Our annual shareholder meeting is the venue to provide updates on the initiatives in our 60-month plan and to connect with leaders of the business including Margie and Trish. We are optimistic that this year will allow for in person attendance. And we intend to design the event around the live experience. Those looking for opportunities to engage in Q&A and connect real time with the team are encouraged to travel to Seattle. We hope to see you there. And with that, we’ll open the call up for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] The first question is from John Barnidge with Piper Sandler. Please go ahead.
John Barnidge: Thank you. Thank you for the opportunity. Vet service inflation was 5.1% January CPI. Can you talk about the spread between vet invoice increases and then price increases? I think you talked about it last quarter as well and then your outlook for that in 2022?
Tricia Plouf: John, this is Trisha, I’ll start your question and I’m sure others may want to add a little bit of color because there are multiple facets to it. In general, when we think about our pricing, it’s based on what we’re seeing come through, in our invoices and targeting that 71% value proposition. So that’s what’s driving our rates. And we’re staying on top of it very frequently. For the total year, we saw, kind of the cost of our vet invoices at about 4.6% increase, and our pricing for the full year was a 5.3% increase. Now, that did soften a little bit, as you can see in the fourth quarter, where we saw about 1.9% cost of that invoices coming through to us and our pricing was about 3%. And so what we’re trying to do is stay ahead of it, stay on top of it, but at a very granular level. So you heard on the call, we actually decreased prices in some areas where we needed to do that to get closer to our 71% value proposition. But there are some cities, like one example is Palm Springs, where we saw 13% cost of goods in vet invoices coming through and then others were lower. So the point is, we’re looking at it on a very granular basis. And we’re targeting the 71%. You mentioned January, we’ve been looking at our January data that we’re seeing coming through. I would say so far we are not seeing much of a different trend than we’ve seen the past couple of quarters. But early February data and I would say it’s very early, so we’re still looking at it, does start to see a tick up. So we’ll be monitoring that not only in totality, but at a very granular neighborhood level to make sure we can stay on top of it, we can get the pricing through that we need. The good news is, I think we’re doing a good job in terms of as you can see from our results, targeting that 71 better hitting it more consistently, not only overall, but on a granular level. So we’re just going to stay focused on that and have that really, really drive how we’re operating. Drew, do you want to comment more on what we’re looking at going forward financially?
Drew Wolff: Yes, so I’ll just emphasize what Tricia is saying is, we’re pricing for increases. Now that’s math a little bit by us refining our pricing and actually decreasing price on part of our portfolio and also, in prior quarters, we’ve mentioned a change in mix as we broaden distribution, we’re growing in lower cost areas, and you see that come through our pricing. But looking forward, we don’t see, based on what we know now, we don’t see those trends changing. But if we do, will continue to, as we’ve shown, we’ll continue to price for it.
Margi Tooth: And John, if I can, it’s Margie, if I can just add to this. In terms of Trupanion overall, we believe vet to increase their rate. We believe that they’re currently under priced for all the services that they offer. And they are a highly stressed, vet stretched by [Indiscernible] in the industry. And the best thing they can do is to make sure that their pricing appropriately. Tricia and Drew both mentioned are looking at our pricing at a very granular level. So we feel confident we can stay on top of that, but for the good of the industry, and also to increase the demand for Trupanion, it’s better that they increase the rates because they need to.
John Barnidge: And then maybe my follow up question. I believe adjusted operating income is now the guidance you’re talking about. I didn’t hear anything on revenue. Can you maybe talk about that shift in, maybe how the new partnerships you’re launching with Chewy and Aflac fit within that shift?
Drew Wolff: Sure, this is Drew. Yes, so we’ve done is evolve our approach, consistent with how we’ve given long-term guidance in the 60-month plan, and then specifically for 2022, to focus on a bottom line metric, like adjusted operating income, because that’s what we managed to and as we rollout initiatives, we are targeting similar margins and adjusted operating income. So that’s why we thought it was a better way to guide to and then with consistent margins now that we’re at scale, you can back into other metrics and the IRRs that we’re targeting. So we’re just evolving from starting at the top line and going down to starting at the bottom line and going up. But embedded in our guidance is all the initiatives that we’ve already talked about. As that will ramp up slowly during the year and then more meaningfully impact 2023.
Tricia Plouf: And I’ll just add a little more here because we know this is a bit of a shift and in evolution. In general, we have always provided a lot of transparency, whether it’s on the calls or the shareholder letter and we don’t intend for our philosophy around transparency to change. But we also want to make sure we’re speaking in a way that is very consistent with how we’re looking at the business, running the business, metrics that we’re targeting as we have more products and more geography. As Drew mentioned, by honing in on the adjusted operating income, and our target margins which we’re very close to achieving can really back into the 25%, then on, overall on the top line, as well. And I think these new initiatives, while they haven’t, many of them have not launched yet, we don’t have great visibility into them, they’ll ramp up likely slowly as the year goes on. Longer term, they give us more and more confident that our 25% growth rate that we’ve talked about in the 60-month plan is achievable because that level of growth year-after-year is not. While we’ve done it for a long time, it’s not easy, it takes good execution. And we’re focused on that. So hopefully, that helps just add a little bit of color to how we’re thinking about it.
John Barnidge: It does. Thank you.
Operator: Thank you. The next question is from Shweta Khajuria with Evercore ISI. Please go ahead.
Shweta Khajuria: Okay, thank you. Let me try two please. Chewy partnerships possible to, please provide some context on how we should think about framing that opportunity to basically the meaning and magnitude of that opportunity, as you think about this year and just next 48 months I guess? And then the second question is on marketing environment. Could you please provide some context on what you saw, just generally, in terms of the marketing environment, whether it was a crowded market? And in particular, were there any channels that worked really well for you? And/or were there some channels that were a disappointment to a negative surprise, and which ones were those? And then same question for Q1, now that we are off the holiday season, what’s the marketing environment looking like right now? Thank you.
Darryl Rawlings: Shweta, you kept layering on questions there at the end, but I’m going to get answer. That’s okay. I’ll hand over all the details to Margie. But when we’re thinking about bringing on new partnerships, new distribution channels, new products, expanding geography, all of the things that we’re looking at comes down to a single focus. How is it that we can inform and educate pet owners or households when they get a new pet to the household? And all of our partnerships are meant to be a way for us to initiate conversations from people that have strong authority being veterinarians or breeders or Chewy as an online retailer or Aflac for worksite benefits, etc. It’s really about us being at the front of the lead generation and educating consumers on why it’s important to have high quality medical insurance to help them budget. And that’s kind of the lens that we’re looking for. And that’s a lot of it is in the 60-month plan. But I’ll kind of hand it over to Margie to give you more details.
Margi Tooth: Yes, hi, Shweta. So just to finish off on the Chewy partnership, obviously, we’re very excited to be and honestly humbled to be their partner. In terms of the magnitude for 2022 we’re going to start off fairly slowly and controlled throughout the beginning of midpoint of the year. And then throughout the year, we will grow and expand that at a pace that we feel comfortable with together. We are well aligned partner with them. And I think we have some great opportunity in front of us to Darryl’s point it’s a great opportunity to start to connect with people in an online environment that has the partnership and support of a fantastic brand on Chewy. In terms of the marketing environment your second question, there are a couple of questions in there. What are we seeing in the quarter in Q4? A couple of things happen. So we went into the quarter pretty aggressively with our spend and we had a solid start in terms of the lead volume. The lead volume was up as we continue to be up throughout the last year. Started to slow a little bit, we saw a pocket of Omicron and really the pandemic started to hit as the world saw at the back end of that quarter. We saw that coming, we saw it happening. We saw the softening, we made a very deliberate decision unlike at the beginning of the pandemic, when we weren’t really sure what was going to happen. We didn’t really continue to be aggressive with our spend in a space to really help drive through the pandemic that we saw happening, and also to give us a really good start to the year in 2022. In terms of channels, we saw a very similar trend across all of our channels. So there wasn’t one that was performing particularly badly, wasn’t one that was performing particularly well. I will say that there was a challenge we had in terms of conversion, which we noticed in terms of execution through the quarter. And we were able to rectify that. We spotted the problem. Execution, we’ve always said it’s challenging. And it’s great when we can identify where there are issues and we can fix them. I’m happy to say we have fixed them. So moving into Q1, we’re back up to the levels that we saw in Q3 in terms of growth rate. And seeing that overall, it’s time to sharpen up my face. So I think positive and to the quarter and really strong start to Q1 as well.
Shweta Khajuria: Okay, thanks, Darryll. Thanks, Margie.
Operator: Thank you. The next question is from Jonathan Block with Stifel, Please go ahead.
Jonathan Block: Hi, guys, thanks and good afternoon. Maybe the first one is just to start the gross adds. I think they were down Q-over-Q for the first time since the fourth quarter of 2019 and I get it you talked about specific COVID headwind. But do you have a way of quantifying what that was when we think about the impact to gross adds? I don’t know, 4,000 or 5,000 if you want to throw a number out there. And then how do we think about that coming back into the queue? In other words, does it all come back and like 1Q, 2022? You mentioned a good start to the year and then normalize, I’m just trying to think about that cadence of gross adds, which you can step down in 4Q how we think about it, starting the year in 2022 and then subsequently in the quarters after?
Margi Tooth: Yes, Hi, John. It’s Margi I’ll kick off and obviously others can add. So in terms of, you are right, 4,000 was about what we thought was the difference between what we were anticipating and the impact of the COVID headwind. In terms of recovery, we’ve seen since the midpoint of January, we started to see that really come back. One of the key things that we look at when we’re going into any month, we don’t typically think about it quarter-over-quarter, we’re thinking on a monthly basis, especially in times of pandemic, when you’ve got such a variability, we look at the overall market opportunity for us in a given period of time. So we use Google data, we use all the data that’s available to us. So we can see how many people are searching for the term pet insurance. So that people we believe to be in markets. People don’t typically look for pet insurance, unless they are in market at the time. And so what we found is at the beginning of the pandemic back in 2020, so March April 2020, that the volume of people searching really came down. There was a time when I’m sure you remember, we doubled down, we focused on what we could control, which is a member experience. And we really started to pull back on our spend because we weren’t sure where it was going to go. When we hit similar periods so in Q4 we were looking at the same search volume which had recovered since Q1 and Q2 of 2020. It dipped to the same level at the beginning of the pandemic. So for us that told us that the market was a lot softer than it had been. And we made a very conscious decision to push hard and we wanted to push hard to add aggressively, not only so we could keep our brand front of mind from a pet and veterinarian perspective. But also because we were confident it was going to return. We also have immense confidence in the team’s ability to turn levers on and off that we need to we’ve got really sharp at doing that. As a result of that we’ve seen some really good growth coming in, as I mentioned at the top half of the year so far, top part of the year. So we’re happy with the lead volume. We’re happy with conversion rate. We’ve corrected some issues we had from an execution point of view. I’m sure there will be other issues that we will have from an execution point of view, but right now I feel confident in where we’re going and seeing that momentum come back up to the levels that we would expect it to be at and I think overall happy with the February performance so far. Darryl anything to add?
Darryl Rawlings: I mean just context, Q4 of 2021, we grew net pet new growth of 11% over a huge comp of Q4 of 2020 and all of that with the challenges in the marketplace that have rebounded. So I think the team degrade and looking forward to seeing a 2020 player.
Jon Block: Okay, that's helpful. Thanks for the colour. The second question might have a couple of different parts to it, maybe the most recalled. Just on the Chewy partnership, how that structured, in other words is there an equity component when we think about the compensation going at Chewy from sort of a pack perspective again a joined equity components add to that and then just backing up for a second, you know guys I'm all in dated with email saying questions around the guidance. So can you just help me out here for a second? You are very clear that the adjusted operating income of 25% of subscription flat on other, did you commit to an adjusted IRR number, is that still expected to be 30% to 40%. And then, maybe just with all due respect, you were just talking about how you're one of the few companies in the S&P 600 to have this revenue growth rate in your rare breed. The most straightforward numbers are revenue number, not in adjusted operating income numbers. So can you just sort of any better explain why at this point-in-time you decided to back away from providing the revenue number. Thank you.
Darryl Rawlings: Well, the first question was about Chewy. We think we got greater alignment, as a reminder it's meant to run on the same type of margins and the same type of internal rates of return as our core subscription business. We have mentioned earlier that Chewy would have the option of taking some of that when otherwise will be tax spend in stock if they choose up to a certain cap. So we think we've got great long-term alignment. Your other areas of questions, why are we talking about adjusted operating income, because adjusted operating income is more meaningful to shareholders when they understand the cash flow of our business. And if our margins are relatively stable, it's very easy for somebody to do the math to figure out what the impact of revenue is. Lot of companies can give revenue guidance but without giving guidance down to a contribution margin or the margins that you are able to spend, it doesn’t give investors as much opportunity. The other part is internal rates of return. And we are committed to staying between our guardrails of 30% to 40%.
Jon Block: Perfect. Thank you.
Operator: Thank you. The next question is from Maria Ripps with Canaccord. Please go ahead.
Maria Ripps: Great. Thanks for taking my questions. I just wanted to follow-up on the Chewy partnership and just maybe expanding on some of the Shweta's questions. So if we look at their customer base of about 20 million, do you have a sense of sort of what portion of that could be a more admitted addressable opportunity for you see here in the near term? Anything maybe you can share around the pet base by sort of by age, et cetera. And sort of what would you consider to be a successful outcome here let's say four five years from now in terms of mix of two customers taking out one of this plans. Just trying to understand if this partnership could potentially sort of accelerated option of debt insurance across this space.
Margi Tooth: Yes, sure. Hi Maria, it's Margi here. So in terms of Chewy 20 million base, I mean, the point that its really critical for us, they are partner that we are -- we're working with to help educate in formal pets and it's about the benefits of having high quality medical insurance. In terms of what is our immediate addressable opportunity we have reason to believe that they don’t have any more or less penetration rate than the average population. We don’t know and not the reality. So we're excited to work with them to bring to light something that we believe every pets owner should be aware of and every pet owner should have the information available to make a counted decision on whether they are insuring their pet. That's something that Chewy is very eager to do as well. And I think for us, we believe together is that we can help for any increase the awareness and education but hopefully adoption and drive more insure clients into the veterinary part just to get on the care they need. Successful outcome for us is honestly making sure that there is an increased awareness. We believe a 2% penetration where we're fully under penetrated, there's a lot of market to take. And together, we're hopeful that we can do that. And the alignment that we have I think it's [promises] is a good sorting place that we'll be able to share once we get into the market with the product.
Maria Ripps: Got it, that's very helpful. Thank you, Margi. And then secondly, can you maybe share any colour around sort of your launches of PHI Direct and Furkin in Canada last year. And is there an updated timeline for the U.S. at this point?
Margi Tooth: Yes, still to say on PHI Direct and Furkin now about six months in from the launch in the Canadian market. We're happy to see that overall in terms of the lead volume we're looking really healthy. We're definitely reaching pet centres with the in the right way. The area that we're still continuing to focus on is to work on our conversion rates. We operate within the same IRR guardrails for PHI Direct and Furkin as we do for the core subscription business the Trupanion product. Say for us it's really a case of refining that conversion journey making sure that we're not just paying for lead to than converting them. When we get back to a level we feel comfortable with within our 30% to 40%, that's when we will trigger and made into the U.S. market. We're not going to do that without having the opportunity to really know we can refine this thing leave it to those two plans as we can with our core subscription business. The timeline is still to be determined but the teams are working hard on refining that process and looking forward to them coming to U.S. and hopefully in the not too distant future.
Operator: [Audio Gap]
Unidentified Analyst: Thanks. Good afternoon. First question, I want to ask about the upward trend in the variable cost of revenue within the subscription business, obviously just relatively small increments but it keeps getting closer and closer to this 10% level because 9.8% in the quarter and for the full-year. Just trying to get a little bit better sense of sort of what's driving that upward progression, is it retention cost or is there something else in there and I mean is it possible to say that there is a ceiling on that or are there some level it which you think that metric is going to hold or is there possibility there we actually see this move above the 10% mark. That’s first question.
Tricia Plouf: Sure, hi. This is Tricia. Yes, we did see this variable expenses which as a reminder it's really the cost associated with servicing our members through customer care retention effort particularly after the first year and other strategic initiative that are designed at our member experience. And we did make a strategic decision early on in 2021 to invest more heavily here particularly on retention initiative to that we had in mind to help and improve our retention rates, which we're very successful during the year this we see from our retention metrics. I would say overall I wouldn’t expect it to go beyond 10%. We are looking as with anything to maintain the metrics that we've been able to drive but scale them longer term because our ultimate goal is to be giving as much back to the member in terms of that invoice payments as possible. But this was a [worthwhile] in that and that we continue throughout the year as we saw the results play out in retention.
Drew Wolff: And this is Drew. I'd add that the bigger our portfolio gets, each basis points the retention is worth more so with the good investment. And then I would also add that we're targeting a 15% adjusted operating margin. So in the quarter even when it was at 10%, we delivered that. So that's how our running the business going forward.
Unidentified Analyst: Okay, thanks. And maybe just a little bit more of a macro question. Obviously the route that we so start to the year in terms of vet clinic visits and see some of the services suggesting numbers are kind of down year-over-year. Just curious how that has impacted overall total lead volumes whether or not there's been any impact on the conversion rates within your different lead channels?
Margi Tooth: Hi, it's Margi. In terms of that vet visits, [indiscernible] the launch visits that we're still being suppressed the back half of '21, that’s definitely rebounding we think about serving, people having to make appointment for themselves many vet recognize some weeks and months out but they're happily we're seeing the volume, lead volume is up so mainly picking back up again across all of our channels not just have been vet the vet oversees the one that really joins the markets for us and for the industry. In terms of conversion rates, conversion rates also improving I mentioned before that we made some adjustments from the way we're managing conversion process and opportunity that we should not corrected but still get about like three instant ones. It doesn’t mean that the work stops there, we've got a lot ourselves to do but still happy about the momentum we have going into the rest of the quarter.
Unidentified Analyst: Okay. And just last question. With respect to your overall debt inflation levels out there, I'm not sure how much variation you're seeing by market but wondering if you're seeing any noticeable changes in terms of the buckets that you sort of highlighted previously in terms of distribution and how in pricing increases may in fact impact your business. And we basically look and you see it may perhaps there's been a disproportion in increase in the pricing bucket with greater than 20% overall inflation?
Tricia Plouf: Yes, this is Tricia. I would say in general like I mentioned, behind the scenes there is overall which is the large variation in costless care prices coming through, utilization of care and then also there's been some of the COVID impacts in certain areas more than others. And so, we do see variability. Also like I mentioned, we've had certain areas where we haven’t been prices accurately as we could have been. And we pushed through decreases to get closer to our value proposition which then settle out for more equal increases if an increase is needed in the future as opposed to which fine people around. I mean, in general I would say I think we're getting better not as many members needing to fall into the very large price increase bucket as we get more-and-more granular. That being said, as we're targeting that 71% value proposition at a neighborhood breed agile enrollment level. If we're seeing information comes through that necessitate that, we will push it through because that's the right thing to do at that granular level. So I think we're getting much better particularly over the past year with spending more resources on this. I would also say areas, one of the reasons where we're really pushing to get better at this whether there's an increase needed or decrease needed if we guess we do see growth messaging everything comes together better in a particular area when we are more accurately priced and can have those I mean their increases going forward.
Margi Tooth: Yes. I can answer that as well. When we think about specific markets in Tricia's point where they came across the whole business that have a very granular level from end-to-end in that journey from pricing to sale to retention and the whole member experience. There is no difference in the price point, if you look at $5 amount, the key thing is as Tricia mentioned a 71% and that value proposition is the critical. The ability for our teams to sell our product and the people to appreciate the value is good and it doesn’t make a difference what that price point is so long as the value is there in the product. And people understand what they're getting. So there isn’t a price sensitivity, we don’t see that shifting by market. It's all about making sure the product is doing what we set out to do and solving that problem. And if we price accurately, we know it can do.
Darryl Rawlings: Yes, I'll add just one more bit of color. So we have one market for example that is double digit inflation. In that market, we got a high percentage of hospitals that we're paying directly. That market is in the state of TruTopia meaning referral and added pets are greater than cancels. In that market, over 40% of new enrollments are coming from referrals and the growth rate in that market is greater than 30% year-over-year and is a mature market. So when we have a value proposition right and we got the right customer experience, we have a perpetual growth machine because we've got such low penetration rates and that's super exciting to see those things. Hello?
Margi Tooth: We're ready for our next question.
Operator: Thank you. So the next question is from Ryan Tunis with Autonomous Research. Please go ahead.
Ryan Tunis: Hi, thanks. Good evening. First couple of questions on the Chewy deal. From an ARPU perspective, is that going to is that expected to be more kind of the like the $44 per month other pet or closer to $63 that we're seeing in subscription. That’s one. And then also, I guess in anticipation of the Chewy partnership launching in the spring, is there should we assume we're going to hold back some pack spend potentially for the back half of the year? Thanks.
Margi Tooth: Hi Ryan, it's Margi. So I can kick off this on to say the Chewy products that's designed is especially for Chewy. So the teams are refining comes at the different value proposition, the kind of overall product stats. There will be similar products in there but -- excuse me, would be ready to share that more as we go closer to launch. In terms of honing back pack spends, look we're not and when we think about the way -- the margins the way the business is changing are holding back anything here, I think kind of it's going to run similarly to how we would run any other products at the growth side of the business, then we're thinking about the core Trupanion products we think of like Chewy that we will run within the same IRR guardrails as we have been with the other products and the difference there.
Ryan Tunis: Got it. I guess, the reason I asked that question is when we start thinking about pretty big numbers from Chewy, that could seemingly I guess cut into the profit margin that you have reserved for investment in new pets. Is that something you're worried about, you think you'll be able to meet that?
Drew Wolff: This is Drew. Yes, we think that would be a good problem to have. We're investing for growth, we have a strong balance sheet and as the returns are there, we will invest in money.
Ryan Tunis: Got it. And then, my follow-up is just on the guidance you gave for adjusted operating income. Does that contemplate any contribution from Chewy or any of the aspects of the multi-year plan?
Drew Wolff: Yes, embedded in that guidance all the initiatives that we've keyed up. It just gives us greater confidence around hitting 25% this year and also into our 60 months plan. As we mentioned, it will ramp up slowing during the year and really impact 2023.
Ryan Tunis: Thank you.
Operator: Thank you. The last question is from Greg Gibas with Northland Securities. Please go ahead.
Greg Gibas: Hey, thanks for taking the questions. I think in your prepared comments you talked about the Aflac partnership beginning the target works that's across North America. I'm wondering if you could just expand on maybe the timeline of that deployments of the initiative there and when we might begin to see a financial impact from it.
Margi Tooth: Yes. So hi Greg. So I'll pick up here, it's Margi. In terms of the Aflac timing, so excited to be launching that within this quarter. We are rolling out a small number of [authorized] brokers initially just began to make sure that we're controlled that everything that we have built out is really effective and honing and then we will slowly build on that through the rest of this year. We don’t expect or anticipate any meaningful contribution in 2022. As a reminder, the employee benefits phase typically has to in real chance to the enrolment periods, the first in July and the second in January. And they're launching at this point-in-time allows us to really build through that and make sure that we're with we're all feeling confident. Aflac remains an incredibly well aligned partner. They are a shareholder of Trupanion's and an alignment that really does help make sure that we're checking other boxes in the right way. They've helped hold our hand through the environments and work side perspective. We're running ahead of plan and we say it's become very smoothly so far and we're excited to see where it goes.
Greg Gibas: Great, that's helpful, Margi. And with regarding it's just a follow-up on the increased variable expenses relating to investments in the member experience that you talked about. Are those -- should we expect that be kind of recurring or more one time in nature in Q4?
Margi Tooth: Yes. I would say, I mean that's our current run rate with the initiatives that we're seeing working well. Obviously we don’t want to stop doing those initiatives but anywhere that we can drive or scale moving forward will be -- we'll be hoping to do so.
Darryl Rawlings: I just want to reemphasize, in Q4 we hit our 15% target margin pretty much right on line. In the event that we get any additional savings, we are going to be planning on giving those savings back to the consumer and having better value proposition. So for those modeling the business, what's most important to model is that 15% margin and the higher percentage we can give back to the consumer is only going to help retention rate referral rates and our lifetime value of the pack which then allows us to spend more money to acquire a pet. So we're not trying to get margin expansion from 15% to 16%. We said years ago that was our target. We said in our opening remarks that we've been narrowing around that four of the last eight quarters. In Q4, a time when people were concerned about inflation, we hit it perfectly. And we balance between customer experience and paying hospitals directly 24/7 and trying to give as much back to the customer as we can.
Greg Gibas: Great, helpful Darryl. I guess if I could sneak in a last one I know which you didn’t address your pet food offering. Any developments there along that initiative?
Darryl Rawlings: We're still testing. We are excited about it, we think it could be a great initiative and the data that we have around our business we think can be very supportive. But we're still trying to fine tune things where we're not doing any product launches, we're not doing anything with consumers yet. So it's all behind the scenes.
Greg Gibas: Okay. I appreciate it.
Operator: Thank you. Ladies and gentlemen, we have reached the end of the question and answer session. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.